Operator: Welcome to The Priceline Group Second Quarter 2017 Conference Call. The Priceline Group would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals or expectations and similar expressions reflecting something other than the historical fact are intended to identify forward-looking statements. For a list of factors that could cause the Group's actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statement at the end of the Group's earnings press release as well as the Group's most recent filings with the Securities and Exchange Commission. Unless required by law, The Priceline Group undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. A copy of the Group's earnings press release together with an accompanying financial and statistical supplement is available in the For Investors section of The Priceline Group's website, www.pricelinegroup.com. And now, I'd like to introduce The Priceline Group's speaker for this afternoon, Glenn Fogel and Daniel Finnegan. Go ahead, gentlemen.
Glenn D. Fogel - The Priceline Group, Inc.: Thank you, and welcome to The Priceline Group's second quarter conference call. I'm joined this afternoon by our Priceline Group CFO, Dan Finnegan. The Group produced a solid quarter, reporting worldwide accommodation reservations of 170 million room nights, which is up 21% year-over-year and hit the top of our guidance range. Consolidated gross bookings were up about 19% year-over-year on a constant currency basis or about 16% in U.S. dollars. Gross profit was up about 24% year-over-year on a constant currency basis or about 21% in U.S. dollars. Adjusted EBITDA increased 20% year-over-year to $974 million. We believe the growth that we are reporting demonstrates the strength of our brands, the value of a diversified global footprint and solid execution by our more than 22,000 employees located in more than 280 offices around the world. Looking at our individual brands, Booking.com recorded another impressive quarter, adding approximately 150,000 properties to the platform. As of June 30, 2017, Booking.com's total property count was more than 1.3 million, which was a 39% year-over-year growth rate and represented approximately 26.1 million potentially bookable rooms. These properties are located in over 220 countries and territories and show Booking.com's depth and breadth of global accommodation listings. One of the most important parts of the Booking.com platform is its vacation rental properties, which adds real choice for our customers. As of June 30, 2017, Booking.com had over 721,000 vacation rental properties, a growth rate of 54% year-over-year. This marks the fourth consecutive quarter of accelerating growth in vacation rental properties. We will continue to add these type of properties across our entire global footprint and note that all of the Booking.com vacation rental properties are instantly bookable. We believe these types of properties not only offer more choice for our customers, but also provides conversion benefits across the entire Booking.com marketplace. We recently closed KAYAK's acquisition, the Momondo Group, and are delighted to welcome the momondo team to The Priceline Group. We believe the Momondo Group's two strong brands, momondo and Cheapflights, will help further our goal of having the world's best meta platforms. The Momondo Group is being integrated into KAYAK, and we are pleased to see early progress in this area. Agoda produced another solid quarter of gross bookings growth, despite the competitive Asian markets in which it operates. Agoda is using technology to maintain a high level of competitiveness, employing machine learning to price effectively and continuously improving its front end through relentless experimentation. We believe that these efforts and others will enable Agoda to continue to be one of Asia's premier accommodation booking sites. Rentalcars.com delivered another strong quarter on both the top and bottom lines, as the team continues to push operational improvements in key areas like customer service. Rentalcars.com is also beginning to build its capabilities to provide multiple ground transportation products for the entirety of its customers' journeys. We are excited about Rentalcars.com long-term vision to significantly reduce customer friction in ground transportation. priceline.com extended the progress it made in the first quarter and is seeing gradual acceleration in room night growth. We believe investments in people, product, technology and marketing are contributing to this improvement. OpenTable produced another positive quarter, driven by top line growth and is meeting or exceeding its key operating metrics for the year, such as scaling its restaurant listings, growing total visitors on the platform and upgrading restaurants from its legacy Electronic Reservation Book system to its cloud-based Guest Center Service. As we turn to the second half of the year and beyond, we note that we are always striving to increase the value of our accommodations platform. First, we believe that adding inventory, especially non-hotel properties and its related content, is an important step. We also believe that building a closer, direct relationship with our customers is an important long-term goal. One way we are doing this is by increasing our focus on brand marketing, which we have been doing and expect to continue to do so. However, even in paid channels, building the direct relationship is relevant. As we choose how much capital to deploy to a given paid channel, we evaluate things like the ROI, the overall user experience and the repeat to direct rates. Once a customer has landed on our site, we want to provide a great user experience with the greatest selection of all types of accommodations at the best prices on the best digital platforms with the best customer support. Overall, we expect to continually measure and analyze all of our marketing mix to ensure that we are building a direct relationship with our customers. Finally, as we continue to move through our busy summer season, our employees are intensely focused on delivering an exceptional customer experience. I would like to thank our employees around the world for their hard work and dedication, especially during this peak travel season. And I would like to thank our supplier partners, with whom we are so proud to be associated with, and most important of all, thank you to our millions of customers throughout the world. I will now turn the call over to Dan for the detailed financial review.
Daniel J. Finnegan - The Priceline Group, Inc.: Thanks, Glenn. I'll discuss operating results and cash flows for the quarter, and then provide guidance for the third quarter of 2017. All growth rates referenced in my comments are relative to the prior year comparable period, unless otherwise indicated. I highlight that our non-GAAP financial results and forecasts include stock-based compensation and do not reflect the reduction to income tax expense related to available NOLs. The reconciliation between our GAAP and non-GAAP results is detailed in our earnings release. Room nights booked in Q2 grew by 21%, which was the top end of our guidance range. Performance was strong across each of our key geographic regions, and we believe that the growth rate achieved represents another quarter of increased market share. Rental car day reservations grew by 12% compared to 15% growth in Q1. Average daily rates for accommodations, or ADRs, were down slightly for Q2 versus prior year on a constant currency basis for the consolidated Group, which was below our forecast for growth of about 1%. Foreign exchange rates unfavorably impacted growth rates expressed in U.S. dollars for our Q2 results as compared to prior year, but were slightly favorable to our guidance forecast. The favorable trend for foreign exchange rates has continued in Q3 as we will discuss in a moment when we get to guidance. Q2 gross bookings grew by 16% expressed in U.S. dollars, and grew by about 19% on a constant currency basis compared to prior year. Gross profit for the quarter for The Priceline Group was $3 billion and grew by 21% in U.S. dollars, and by about 24% on a constant currency basis compared to prior year. We estimate that gross profit growth benefits by about 2 percentage points from Easter shifting to Q2 this year. The shift of Easter from Q1 last year to Q2 this year also favorably impacted Q2 operating profit, EBITDA, net income and profit margins compared to the prior year. Our international operations generated gross profit of $2.6 billion, which grew by 24% in U.S. dollars, and by about 26% on a constant currency basis compared to prior year. Gross profit for our U.S. operations amounted to $351 million, which grew about 7% compared to the prior year. Advertising and other revenue, which is mainly comprised of non-intercompany revenues for KAYAK and OpenTable, grew by 5% in Q2 compared to the prior year. GAAP operating income grew by 22%, and GAAP operating margins increased by 12 bps compared to Q2 last year. Operating margin performance was better than our forecast and prior year due mainly to gross profit growth and some brand advertising shifting into Q3. Non-advertising operating expenses were also favorable to forecast, due mainly to relatively lower bonus accruals and timing of spend. Performance advertising deleverage compared to the prior year was caused by lower ROIs and share of traffic by channel, partly offset by timing of bookings versus stays, including the impact of the timing of Easter that I just discussed. Adjusted EBITDA for Q2 amounted to $974 million which exceeded the top end of our guidance range of $905 million, and grew by 20% versus prior year. GAAP net income and fully diluted EPS both increased by 24%. Non-GAAP fully diluted net income per share was $15.14, up 20% versus the prior year, exceeding our guidance for the quarter and FactSet consensus of $14.20. In terms of cash flow, we generated $1.2 billion of cash from operations during second quarter 2017 which is an increase of about 19%. During the quarter, we returned $344 million to our stockholders through share buybacks. Our cash and investments amounted to $16.6 billion at June 30, 2017, with about $1.9 billion of that balance in the U.S. In July, we paid about $550 million of our international cash to close the momondo acquisition. We are very happy to welcome the momondo team into KAYAK and The Priceline Group. The acquisition is expected to be modestly accretive to our consolidated non-GAAP earnings in its first year post close, but to have a de minimis impact in Q3. We expect the acquisition to have a materially accretive impact to KAYAK's results and to help KAYAK accelerate its international growth and build its scale in the meta-search channel. Now, for Q3 guidance. Our guidance assumes that our growth rates will decelerate, mainly due to the size of our business and consistent with long-term trends. Our guidance also reflects a difficult comp because our room night growth accelerated in the third and fourth quarters of last year. Our Q3 forecast is based upon recent foreign exchange rates, which for the first time in recent memory, are favorable to our growth rates expressed in U.S. dollars. We have hedge contracts in place to substantially shield our third quarter EBITDA net earnings from any further fluctuations in the euro, British pound and various other currencies versus the dollar between now and the end of the quarter. But the hedges do not protect our gross bookings, gross profit or operating profit from the impact of foreign currency fluctuations. We are forecasting booked room nights to grow by 11% to 16% and total gross bookings to also grow by 11% to 16% in U.S. dollars and by 9% to 14% on a constant currency basis. Our Q3 forecast assumes the constant currency accommodation ADRs for the consolidated Group will be down by about 1% compared to the prior year period. We forecast gross profit to grow by 15.5% to 20.5% in U.S. dollars and by 12.5% to 17.5% on a constant currency basis. GAAP operating margins, expressed as operating income as a percentage of gross profit, are expected to be about 2,400 bps higher than prior year Q3, which included a $941 million non-cash goodwill impairment charge. Q3 adjusted EBITDA is expected to range between $2.03 billion and $2.13 billion, which at the midpoint is up 13% versus prior year. We forecast adjusted EBITDA as a percentage of gross profit will be about 230 bps lower than prior year Q3. Our Q3 forecast assumes year-over-year pressure on performance marketing ROIs and increases in brand advertising, partly related to phasing of spend. More than half of the forecasted deleverage relates to non-advertising operating expenses as we invest for high travel season and innovation to drive future growth. Glenn just spoke about some of the areas where we are investing. We are confident that investments in IT talent, supply acquisitions, customer service and advertising will help us continue to stay ahead of the competition and deliver healthy growth in the future. We still expect that our non-advertising expenses will grow more slowly than our gross profit over the longer-term, but in the short-term, these investments will also exert a similar level of margin pressure in Q4. We forecast GAAP EPS between $31.70 to $33.40 per share for Q3, which, at the midpoint, is up by about 221% versus prior year. Year-over-year growth is impacted by the $941 million non-cash goodwill impairment charge recorded in the third quarter of last year that I just mentioned. Our EPS guidance assumes a fully diluted share count of 50.1 million shares, which reflects the beneficial impact of the common stock repurchases we have made to date, offset by additional equivalent shares related to our convertible bonds due to the increase in our stock price. We are forecasting Q3 non-GAAP fully diluted net income per share of approximately $32.40 to $34.10 per share, which at the midpoint, is up by about 12% versus prior year. Our forecasted non-GAAP income tax rate is about 18% for Q3 and the full year. Our forecast does not assume any significant change in macroeconomic conditions in general or in the travel market in particular. We will now take your questions.
Operator: Our first question comes from the line of Mark Mahaney of RBC. Your line is open.
Mark Mahaney - RBC Capital Markets LLC: Thanks. Could you just talk about demand trends? And I guess conversion rates too for traditional hotels versus kind of the alternative accommodations and what you're seeing there to the extent to which you're able to move the needle and start driving demand over to alternative accommodations? How much success you've had with doing that? Thank you.
Glenn D. Fogel - The Priceline Group, Inc.: Hi, Mark. It's Glenn speaking. So I think you know we don't disclose the individual conversion rates for the different types of properties, but maybe I can give you a little color about how important we think the non-hotel accommodation or sometimes we like to call it the vacation rentals business is. And I made the point in my prepared remarks about how we are continuing to accelerate the number of properties we're bringing on and I think that's evidence of how important it is to us. And certainly sometimes people come to our site or to our mobile apps and they didn't even think that they wanted to get a vacation room instead of a hotel. That's one of the benefits of our platform, where we offer both types of properties right on that results page. So I can even give myself as an example going on a holiday with two teenage kids and my wife, so there are four of us and trying to think do we want a hotel or do we want to do something on a vacation stay. And it's so easy on the Booking.com site to see both types of properties right there and be able to make that decision. So we don't try and drive people to one or the other. The customer makes that decision. It's our job to make sure we get the right product out there at the right prices, giving people the opportunity to choose what they want and if anything were to ever go wrong, make sure that we have that customer service there to back it up. That's the way we're going forward, that's how we're going to win in that business. And, Dan, I don't know if you want to give any added points to it?
Daniel J. Finnegan - The Priceline Group, Inc.: No, Glenn, I think you covered it all.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Glenn.
Glenn D. Fogel - The Priceline Group, Inc.: Thanks, Mark.
Operator: Thank you. Our next question comes from the line of Justin Post of Bank of America Merrill Lynch. Your line is open.
Justin Post - Bank of America Merrill Lynch: Great. Thank you for taking my question. Just related to the deceleration in the guidance in 3Q, anything unusual happening in the marketing channels versus competition besides just tougher comps? Or any downtick in your marketing conversion rates contemplated in the quarter? Thank you.
Glenn D. Fogel - The Priceline Group, Inc.: So, Justin, let me put it this way. Again, we hit the top of our guidance. We're pleased with our growth rate. The deceleration in the growth rate is consistent with our long-term trends and expectation for the business given our size now. The rate of deceleration certainly fluctuates from time to time, but I would say that we're pleased by the resiliency in our growth rate over many years. And I'd like to say that the factors that have propelled us to where we are now are still intact. Some of the factors would be the secular shift from offline to online. We still have a very, very large market opportunity. We're still a single digit market share of the global accommodation business. We're growing the property count. You saw those numbers. We're the best converting mobile and desktop platform in the whole space. We believe we're doing thousands of experiments every day. It's a consistent balanced approach is our marketing. So I'm not going to call one out for this. We're always looking to make sure that we're optimizing in our marketing for all the different ways to market. And I'd just say that we're continuing to do the hard work. We have people who are coming up with innovation all the time, mobile execution, the vacation rentals I just mentioned. So I'm pretty pleased with where we sit right now. And, Dan, anything you want to add?
Daniel J. Finnegan - The Priceline Group, Inc.: I would highlight that the comp is particularly difficult. So that factors into the deceleration relative to the prior year and our guide. And as Glenn said, our approach in the paid channels is consistent with what it's always been. So, nothing that I would call out there.
Justin Post - Bank of America Merrill Lynch: Great. Thank you.
Operator: Our next question comes from the line of Eric Sheridan of UBS. Your line is open.
Eric J. Sheridan - UBS Securities LLC: Thank you for taking the question. Maybe just following up on your comments on the marketing spend, you called out ROI and share of traffic by channel. Wanted to know if we could get any more color there as you look into the back part of the year or what those pressures might be in terms of the marketing spend or the return you get on marketing spend. Thanks so much.
Glenn D. Fogel - The Priceline Group, Inc.: So, it's Glenn speaking, Eric. We don't call out the different factors for the different marketing channels. One of the things that we think is very important is to using all the science we have. And we've hired a lot of very, very talented people in all areas; marketing, data scientists, technologists, to try and make sure that we can measure the amount of money we spend in all the different places that we can – that we're marketing that we can get the best return. And in that return, certainly ROI is an important factor, but it's not the only factor. And we include other things, such as so we mentioned things like repeat rates. Are people coming back direct? How sticky is this? What's the user experience? We factor everything in we can to make sure that in the long run we're going to help build that direct relationship with our customers, which we believe in the long run is the way to become successful. Dan, you've been involved in this for a long time. What are your thoughts?
Daniel J. Finnegan - The Priceline Group, Inc.: Well, we did specifically say, Eric, in the prepared remarks that we are expecting that we'll see continued pressure on ROIs in Q3. So that is built into the forecast. And we didn't talk about our expectations for channel share, so we'll probably update you on that when we report the quarter.
Eric J. Sheridan - UBS Securities LLC: Great. Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Thank you. And, ladies and gentlemen, our next question comes from the line of Douglas Anmuth of JPMorgan. Your line is open.
Douglas T. Anmuth - JPMorgan Securities LLC: Thanks for taking the question. Let's just talk about the gross profit growth, and even if we're just looking at it on a FX-neutral basis, it just looks like the gross profit dollars that you're getting there are coming from kind of higher gross profit bookings perhaps relative to what we've seen in recent quarters. So we saw some of that in 2Q and maybe that's implied in the 3Q guide as well. Is there something in particular going on there in terms of the mix? Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: No, Doug, nothing in terms of the mix. So we had a few quarters there where you were seeing pressure on that metric, gross profit as a percentage of gross bookings. And we said that there was a modest underlying pressure on take rates; things like Agoda, experimenting with discounting in their markets. But fundamentally, take rate is down and more what we were seeing was just a difference in timing between when bookings were occurring and stays were occurring. And when we have accelerating growth or strong growth as we had in the end of last year, in the first quarter of this year, the gross bookings grow faster than the gross profit. We also had the added impact of Easter shifting out of Q1 last year and into Q2 this year. And so now, we're getting the benefit of that in Q2, just a higher growth in checkouts relative to gross bookings. We're forecasting the same phenomena for Q3. But I would say underlying that is a similar level of what I would call very modest pressure on underlying take rates.
Douglas T. Anmuth - JPMorgan Securities LLC: Okay. Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Thank you. Our next question comes from the line of Heath Terry of Goldman Sachs.
Heath Terry - Goldman Sachs & Co. LLC: Great. Thank you. Glenn, wondering if you could just give us a sense of how much of this is related to strategy for you. This quarter is actually the lowest that we've seen in terms of the increase in advertising spend as a percentage of brand in the last year, 1.5 years or so. Was there a decision or is there a point to be made around your preference between sort of margin and gross bookings growth or gross profit growth here? It would appear based on that, that there was a trade-off that was made this quarter relative to the rate that you had been running for the prior four quarters.
Glenn D. Fogel - The Priceline Group, Inc.: Yes, I'm going to let Dan take that.
Daniel J. Finnegan - The Priceline Group, Inc.: Let me start off and then Glenn can talk about our approach to advertising. But fundamentally, what you're seeing there, Heath, is that deceleration in the top line. So we're getting the benefit of checkouts in Q2 from Easter and just from strong growth in gross bookings in prior quarters. And we had some deceleration in the room night growth, and so there's less advertising spend coming through to drive those bookings. But the fundamental ROI pressure there underlying, that is similar to what we saw in the quarters before.
Glenn D. Fogel - The Priceline Group, Inc.: And in the overall strategy, I would say there's been no change in strategy. We're always looking for a balance between growth and profit, and you've seen how we've done this for many, many years. I've been here now 17.5 years, and I think we've been fairly consistent and we'll continue to be consistent. And in terms of the amount of money we're going to put to marketing, that's a function of that. And it depends on ROIs and what kind of returns we're going to be able to get is going to help determine how much money we're going to spend, and even more so where we're going to spend it. And as I've mentioned a couple of times now, but I'll repeat it because it's very important, that we're going to spend the money, and no matter what the marketing channel is, that's going to give us the optimal return for the long run. And that's important.
Heath Terry - Goldman Sachs & Co. LLC: Okay, great. Thank you.
Operator: Our next question comes from the line of Brian Nowak of Morgan Stanley.
Brian Nowak - Morgan Stanley & Co. LLC: Thanks for taking my questions. I have two. The first one is going back to your comments on building direct relationships, just curious, did the business mix shift toward direct in the quarter? And then high level, could you just talk to any of the hurdles you think you need to overcome to really grow your overall direct bookings mix? And then, Glenn, I'd be curious to hear, you've inherited a very strong European business that seems to have pretty big market share. If you step back, what are one or two areas where you really see the potential to improve the overall European growth over the next couple of years? Thanks.
Glenn D. Fogel - The Priceline Group, Inc.: Okay. So the first question about direct, and we don't really talk about what the rate of people who come to us are direct or not. And there's nothing that I'll call out that's different or any of that. It's just what I will say is – and you've seen this over many, many years and Dan's pointed this out several times, about increasing pressure in certain parts of the marketing channels, ROIs going down, and you can see CPCs going up on certain paid channels. So of course everybody always wants to get as many customers as possible to come to you direct, not have to pay for the marketing, and that's just exasperated (sic) [exacerbated] when the cost of getting a new customer is more expensive. So, nothing really new there, still trying the best. How we are going to do that is the same way we've always been doing it, but even more so. And that's providing all the things that we talk about each time we go on the call, which is making sure we have the greatest breadth of accommodations. That choice, and making sure there's everything available, is very important to the consumer when they come to our site. You have to have the inventory and to make sure that you've got the best price, because if you don't have the best price, they are going to go somewhere else. And once they do that, once they are okay with that, you want to make sure they have the easiest way to go through the process, whether it be on our desktop, or our mobile apps, or whatever form it may be down the road, is the most efficient, easiest, most frictionless way possible. And then, as I've pointed out before, at the end of the day, it's unfortunate but true. Sometimes, things go wrong for people, and many times it's nobody's fault, it's just something that's gone wrong in the person's travels, and we want to be there to be able to provide them with that assistance, which is why we do it 24 hours, seven days a week in so many different languages. We have 43 languages on our Booking.com site. Doing all those things is what helps promote loyalty, and we're going to keep on doing that to get those people. So when they think about they're going to travel, they need an accommodation on Booking.com, or they're thinking of getting a car rental from Rentalcars.com, or they need a reservation at a restaurant, they go to OpenTable. Whatever part of our Group, we want to make sure that the first thing they think is coming to us, and by providing a great service, that's how we're going to be able to do it. And your last question about Europe. While it's true we are probably the biggest player in Europe in accommodations, and it's – I would not say us to be a small player, I would still say relative to the total amount of accommodations in Europe, it's not a large share. And that's just a tremendous opportunity for us to continue to build that out. And it's not just Europe, but of course throughout the world. And as I said before, there's a lot of road left for us.
Brian Nowak - Morgan Stanley & Co. LLC: Okay. Great. Thanks.
Operator: Our next question comes from the line of Mark May of Citi. Your line is open.
Mark A. May - Citigroup Global Markets, Inc.: Thanks for taking my questions. Hopefully you can hear me. I believe in your prepared remarks, you commented about shifting some of your brand spend from Q2 to Q3. Can you discuss a little bit about why that occurred, maybe the magnitude? And if there's maybe a bit more flexibility in terms of pushing that out even further? And then just a bigger picture question around meta-search. You've obviously been acquiring some meta-search assets. Does that, in all, reflect your view that it's been a bit difficult to convert some of the meta-search customers into direct repeat customers? Thanks.
Daniel J. Finnegan - The Priceline Group, Inc.: In terms of the advertising phasing, that's determined by our marketing teams and they determined that they weren't going to spend as much in Q2 as they had initially thought, and now they are going to spend it instead in Q3. So nothing specific that I'd call out there, Mark, other than that the marketing team's at the helm in deciding how they want to deploy the advertising. On meta-search, we've seen that it's a channel that's gained traction with travelers over the years, and so we saw momondo as a great acquisition that we could add into the KAYAK fold, and help build the scale of that business. We like having a meta-search business in the Group, and we like having an even bigger meta-search business. We think that's even a better position to be in. It was just a very natural fit between the two brands in various markets across Europe, so KAYAK is strong in some markets, momondo is strong in others. And so, we're really excited about the two businesses working together to maximize the opportunity in our meta-search platform going forward.
Mark A. May - Citigroup Global Markets, Inc.: Thanks.
Operator: Our next question comes from the line of Paul Bieber of Credit Suisse. Your line is open.
Paul Bieber - Credit Suisse Securities (USA) LLC: Great. Thanks for taking my question. I think it's the first time in maybe several quarters that you haven't beaten the high end of your room night growth guidance. So I was just wondering if something changed intra-quarter or if your approach to guidance changed. And then secondly, I believe you made some comments about the Asian competitive landscape when commenting on Agoda growth. Could you just provide some color on what you're seeing on the competition front in Asia?
Glenn D. Fogel - The Priceline Group, Inc.: Sure. In regards to your first, the answer is no change in the way we do guidance. Regarding the competitors and what I meant by that, let me give a little more color to that. So while I think many of you recognize that Asia is a great opportunity in the travel industry because a lot of people are becoming first time travelers, GDP per capita goes up and people become wealthy enough to travel, they want to travel right away. So that's great. Lots of growth there and you see it in many different ways and shapes and form (33:46). But, one thing that we have seen and this is over the two decades almost that I've been looking on the Internet is that when you have very strong growth opportunities, you have a lot of players come in. And the players come in with a lot of capital. And it's very much a type of trying to grab – it's a land grab. People trying to get share as quickly as possible, build up brand awareness, build up their name and try and get customers. And one of the ways they do this is raising capital and giving it away to customers, so, essentially discounting or other practices to try and build that business quickly as they can. That's the competitive scenario. If you look at prices for accommodations in Asia, it is one of the most competitive places in the world. And that makes it more difficult for public companies that have certain desires to hit profitability levels versus a private company perhaps that isn't constrained the same way and goes out and raise capital and then gives it away in the marketplace to the consumer with discount and in fact at a loss type accommodations. That makes it more difficult. That's why I'm so happy with the guys at Agoda, who using all their technology and machine learning and pricing and doing it appropriately to compete effectively, to continue to grow, even though I won't say that they are competing with one hand tied behind their back but I'll say they have a more difficult challenge, and that's what I was referring to.
Paul Bieber - Credit Suisse Securities (USA) LLC: Okay. Appreciate it.
Operator: Our next question comes from the line of Perry Gold of MoffettNathanson. Your line is open.
Perry Gold - MoffettNathanson: Great. Thanks for taking the question. Can you please discuss how the inclusion of flights at Booking.com has fared and whether it's helped to sell other travel products or overall site conversion? Thanks so much.
Glenn D. Fogel - The Priceline Group, Inc.: So, I will say one of the great things about this company, this Group, and one of the things that's helped make it to this level of success that it has is willingness to experiment. And we experiment in many, many different ways, including bringing in different products on to different company websites and see how they perform. And when they become successful, we will then do more of that and if it's not successful, we'll just give it away. Some of you may have seen some experimentation we're doing at Booking.com regarding some flight things with KAYAK and we'll continue to experiment. Beyond that, there's not much to add except the fact that it is very successful, we'll do more of it. If it's not successful, we'll stop.
Perry Gold - MoffettNathanson: Thank you.
Operator: Thank you. Our next question comes from the line of Lloyd Walmsley of Deutsche Bank. Your line is open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. A couple if I can. First, can you guys just give us an update on how booking windows are continuing to change? Are you still seeing kind of more come early in the year and then again kind of late in 3Q from mobile? And do you think that's continuing to shift? And then just second one, you talked I think a little bit more in your prepared remarks about spending more on non-advertising OpEx. Can you elaborate a bit on if there's anything specific you're investing in and what kind of magnitude we should be thinking about perhaps relative to the BookingSuite investments in 2015? Thanks.
Daniel J. Finnegan - The Priceline Group, Inc.: Hey, Lloyd. So, as it relates to booking window, we're seeing steady expansion in the booking window. So that trend continues and we are also seeing more bookings coming at last minute because of mobile. So that trend has continued. I wouldn't call it just bookings coming in the early part of the year and then late in summer over mobile. But I'd just say in general, we're seeing that trend. In terms of non-advertising OpEx, in the prepared remarks, I said more than half of the deleverage forecasted for Q3 is attributable to non-advertising OpEx, so that will give you a sense for the sizing. And I said also that it's likely we would have a similar level of deleverage from non-advertising OpEx in Q4 as those investments flow through the pipeline. We still feel good that over the long-term based upon the growth of our business and the past track record where we have been able to deliver leverage in non-advertising OpEx that we can make investments in the business, generally speaking, in the long-term, without having deleverage in that line item. But in the short-term here, we talked about the type of areas where we're investing. We are investing for future growth.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Okay. Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Our next question comes from the line of Ross Sandler of Barclays. Your line is open.
Ross Sandler - Barclays Capital, Inc.: Great. Glenn, just following up on the topic of building direct relationship, Expedia stated a year ago that Hotels.com had about two-thirds of its bookings from loyalty members. So just wondering what the merits of cheaper prices and service levels are versus having a garden-variety loyalty program. I know you've experimented with that for business customers in the past. What's your thoughts on just using price versus a traditional loyalty program? Thank you.
Glenn D. Fogel - The Priceline Group, Inc.: So, it's true. Booking.com has its Genius program, which I believe you're familiar with, and Agoda has a different program to get theirs and OpenTable does loyalty program a different way that all of them. End of the day, though, more than anything in terms of loyalty is providing a great experience and the best price overall. One of the things that we have a mission, it's – the mission is to help experience the world. And to enable people to help experience the world, that means giving them a great experience. And part of that starts right when you start exploring what you're going to do, where you're going to do it, how much it's going to cost. And we've been perfecting the way people are able to book their travel needs for many, many years. And we think that overall, that's more important than anything. Yes, you have to have the best price. And yes, some people, for example, frequent flyers who are known as Points Junkies, who only fly one airline for example to get their points, yes, there is a niche for that. And we have a small company in the Group called Rocketmiles that does something like that. But for the big picture for us is making sure that we have the absolute best product out there, providing it day in, day out with the best customer service. And I will point to some people, who aren't competitors but companies that I admire and look them as a reference. And one right off the bat would be Amazon. And Amazon, through the things that they have done has produced great loyalty. Why? Because it's an absolute great experience. It's a great way to get products you need at great price. And we have no shame in saying we'd like to do things like they do which is doing things the right way all the time as opposed to trying to buy loyalty by just giving away a product.
Daniel J. Finnegan - The Priceline Group, Inc.: And I'd just add to that, Glenn, the track record for Booking.com over the years has been very good, that we bring customers in, new customers through paid channels and we win them over as loyal customers over time by giving them a great experience. The downside of these loyalty point programs is that you end up paying for your direct customers, a fairly significant amount of money in addition to having to pay to acquire new customers. And so there's a balance there. Even if you do get a higher percentage of direct, it's not direct that you're not paying for.
Ross Sandler - Barclays Capital, Inc.: Super helpful. Thanks, guys.
Operator: Our next question comes from the line of Peter Stabler of Wells Fargo.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks very much. Two if I could. First on vacation rentals, you've noted repeatedly over the years that philosophically, you believe traveler fees work against consumer expectations and that harmonizing vacation rentals with hotel inventory from a consumer perspective is an advantage. Just wondering on the supply side, do you think having a higher homeowner commission structure impacts your ability to build additional supply? Does that set up a pricing challenge for owners? Or are they just going to look at the volume that Booking has, and say we're willing to pay a higher price? And then secondly, very quickly, on Asian marketing, just wondering, is that exclusively performance marketing? Or is there a brand element over there? Any color you could provide? Thank you very much.
Glenn D. Fogel - The Priceline Group, Inc.: Sure. And we've been asked that question before in different ways. And the way I look at this is to say that we are continuing to have good success in adding properties around the world in our vacation homes area. And we haven't seen any slowdown in that in terms of people protesting what they're being asked to pay in terms of that commission. So, I think we're okay there. If at some point there was a problem in that area, then we'd have to address it, but I see nothing in the near-term that is going to slow that down. And the fact that we accelerated the growth of vacation rental properties I think is a data point that says it's okay. What was your second question about marketing?
Peter C. Stabler - Wells Fargo Securities LLC: Just curious about the mix over in Asia? Is it exclusively performance? Or is there brand marketing over there too? Thanks.
Glenn D. Fogel - The Priceline Group, Inc.: Yes, again, we don't want to divide up how we're going to split up the money in different geographies in terms of where's brand, how much paid, et cetera. But I think it's important to repeat again, we look at all of our marketing spend holistically. We're always looking for the best return. And we don't care what form it comes from. We just want to get that best result. So yes, we do in the numbers for you and when Dan prepares everything, you see a line item that has your performance stuff. But the marketing people, they're looking at everything holistically, and they're not told, oh you can only spend this amount on brand and this amount on performance, at all.
Peter C. Stabler - Wells Fargo Securities LLC: Thank you very much.
Operator: Thank you. Our next question comes from the line of Brian Fitzgerald of Jefferies.
Brian P. Fitzgerald - Jefferies LLC: Thanks. Glenn, you mentioned machine learning going on around pricing at Agoda and then I think Christa has been out recently talking about using AI to drive OpenTable search results personalization. Are there common back-ends there that you guys are using? Are the data stores common to be leveraged there? And then maybe kind of a follow-on. I know a very broad question. Are your efforts there around machine learning, around AI, are they primarily kind of early innings focused on optimizing marketing? Or do you feel like it's broad-based, we're attacking marketing, we're attacking personalized results, ultimately we're driving conversion?
Glenn D. Fogel - The Priceline Group, Inc.: Right. So, going to go in a little reverse order here. Everything regarding any form of AI, be it neural networks, machine learning, any form you want, very early innings in that area for everybody. I think 10 years from now, we're going to wonder, gee, it wasn't early innings, it's sort of like we're just warming up in the ballpark. So, that's a great opportunity down the road. Second thing, regarding our companies, we do give everybody a lot of independence, and that includes their data stores and data warehouses, they are not merged in any way, shape or form. But one of the successes of our company has been the sharing of knowledge, and that's allowing these data scientists to be able to get together at times – and actually all forms of our company in different areas get together from the different companies, and talk about what works, what doesn't work, and in that way we've been able, I think, to accelerate the Group's achievements no single company would possibly have been able to achieve on its own.
Brian P. Fitzgerald - Jefferies LLC: Got it. Maybe I could ask one more just around the same question. Do you see – as the booking process is moving more mobile, would you call out any differentiation between the quality or the volume of data you get from the mobile side versus desktop?
Glenn D. Fogel - The Priceline Group, Inc.: I have not seen anything at this time that would be any sort of signaling that is material. With that being said, I have to admit I am not in the trenches with the people looking at what signals are gathering up. So I have to plead a little bit of ignorance in that, but I think we're okay in saying that there's nothing coming out yet that we need to announce a material improvement.
Brian P. Fitzgerald - Jefferies LLC: Yes. Okay. Thank you.
Operator: Our next question comes from the line of Kevin Kopelman of Cowen and Co. Your line is open.
Kevin Kopelman - Cowen & Co. LLC: Hi. Thanks a lot. I had a follow-up on your comments on discounting. Could you talk about what you saw in the couponing environment, specifically in Q2, from competitors in emerging markets? Is it fair to assume that it was worse in the second quarter compared to the first quarter, rather than stable? And then when you talk about very modest pressure on underlying take rates, what are the key drivers there of that modest pressure? Thanks a lot.
Glenn D. Fogel - The Priceline Group, Inc.: Well, I don't have any data in front of me that would compare the average discounting Q2 versus Q1 or nail it down there. I would just say that we do see it, and it is a competitive issue that we have to deal with. And take rates, I'll let Dan...
Daniel J. Finnegan - The Priceline Group, Inc.: So that pressure on pricing and Agoda doing some discounting is one of the things that's driving that modest pressure on take rate. And then besides that, we've called out in the past the level to which change participate in preferred placement programs at Booking.com can also have a modest impact. Those would be the two principal drivers.
Kevin Kopelman - Cowen & Co. LLC: Great. Thanks very much.
Daniel J. Finnegan - The Priceline Group, Inc.: Yes.
Operator: Our next question comes from the line of Mike Olson of Piper Jaffray.
Mike J. Olson - Piper Jaffray & Co.: Good afternoon. I have two quick ones. First, looking at competition from Hotel Direct, would you say it's more or less significant than it was six months or 12 months ago? And then second, if you excluded Europe, which market would you say you want to be most aggressive in over the next few years? You just made some kind of mix comments on Asia Pac and the tough competitive environment. So is it there? Or is it the U.S. or elsewhere? Thank you.
Glenn D. Fogel - The Priceline Group, Inc.: Let me go with the second one first, and we have said several times, and we'll still say it that China is by far the most important region for us to continue to develop our business there, because that's where the greatest growth is going to be. And the fact that it is competitive, and as I said at the very beginning, the reason it's competitive is because it's so attractive to everybody. So we're absolutely going to continue to do that there and we're doing it in three different ways. We're always concentrating on our inbound because we have so many customers around the world who are going to China. So we have a little bit of advantage in that one. China outbound because of the number of properties we have around the world, and all the other things we have that go with that, that gives us a good edge there, going on the outbound from China which is growing very, very rapidly. The last part that domestic Chinese business, the people in China who are traveling in China. It's tougher for a non-Chinese company. We're doing a lot of thinking what's the right way to approach it. We're investing, and of course you know that we have an over $2 billion investment in the number one online travel company in China, which is Ctrip, so we've a good partnership there too. So we're approaching in all different ways because we know it is a very, very important market for a very, very long time in the future. Regarding your other question about direct, Dan?
Daniel J. Finnegan - The Priceline Group, Inc.: No, no real change in that. I think we – our relations with the big chains is very strong. They are great partners for us. And I think we're a great partner for them. We bring them a lot of demand. We're one of the lower cost distribution channels out there. So we continue to work well with the chains and their business with us continues to grow nicely.
Mike J. Olson - Piper Jaffray & Co.: Great. Thanks.
Operator: And I'm showing no further questions in queue. I'd like to turn the call back to Glenn Fogel for closing remarks.
Glenn D. Fogel - The Priceline Group, Inc.: Well, I just want to thank everybody for participating and thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the call. You may now disconnect. Everyone, have a wonderful day.